Operator: Hello, everyone. Welcome to Wallbox’s First Quarter 2025 Earnings Conference Call and Webcast. My name is Charlie, and I’ll be the operator for today’s call. [Operator Instructions] I’d now like to turn the call over to Michael Wilhelm from Wallbox to begin.
Michael Wilhelm: Thank you, Charlie and good morning and good afternoon to everyone listening in. Thank you for joining today’s webcast to discuss Wallbox’s first quarter 2025 results. This event is being broadcast over the web and can be accessed from the Investors section of our website at investors.wallbox.com. I am joined today by Enrique Asuncion, Wallbox’s CEO; and Luis Boada, Wallbox’s CFO. Earlier today, we issued our press release announcing results from the first quarter ended March 31, 2025, which can be also found on our website. Before we begin, I would like to remind everyone that certain statements made on today’s call are forward-looking, that may be subject to risks and uncertainties relating to future events and/or the future financial performance of the company. Actual results could differ materially from those anticipated. The risk factors that may affect results are detailed in the company’s most recent public filings with the SEC, including in the annual report on Form 20-F for the fiscal year ended December 31, 2024 filed May 6, 2025. We will be presenting unaudited financial statements in IFRS format that reflect management’s best assessment of actual results. Also, please note that we use certain non-IFRS financial measures on this call and reconciliations of these measures are included in the presentation posted on the Investors section of our website. Also, a copy of these prepared remarks can be obtained from the Investor Relations website, under the Quarterly Results section, so you can more easily follow along with us today. So with that out of the way, I will turn it over to Enrique.
Enrique Asuncion: Thank you, Michael, and thanks everyone for joining us today. We will start today’s call reviewing highlights from the first quarter 2025 and spend time discussing commercial wins, recent product introductions and the EV market. Luis will offer a closer look at our financial results and our key financial metrics before I close the conversation to highlight what we’re focused on for the remainder of the year. Q1 revenue was €37.6 million, beating the guidance range we provided in our last earnings call and almost flat compared to last quarter, but down 13% year-over-year. If we look at the main drivers, there have been certain regions and product categories performing well to offset weaker results in others. North America continues to deliver strong year-over-year performance across all fronts; AC chargers, DC fast chargers and installation services. Compared to last year, Europe has been down in all product categories. But as the EV market is starting to improve, we expect to ramp-up sales in the upcoming quarters. We have seen signs of improvements in the U.K., France and Belgium compared to last quarter. In general, we are reaching stability and control as we consistently grow with key accounts and building meaningful backlog, especially in the home and business segment. DC fast charging sales remain volatile and are dependent on large orders resulting in ad hoc growth instead of a steady increase. However, we continue to onboard new customers, with the most recent example, Francis Energy in the U.S. As the market evolves and customer expectations rise, we are committed to delivering the optimal DC fast charging solution. In total, during the first quarter, we delivered over 36,000 AC units and more than 100 DC units. I’ll shortly share more detail on key milestones and customer wins across both our home and business and fast charging segments. Overall, we’re confident in our commercial position with the right customers, the right products and the right distribution partners in place to drive continued growth. Gross margin was 38.1% in the first quarter, which is within the 37% to 39% guided range. The results reflect a 634 basis point improvement compared to last quarter. The positive impact was mainly due to product mix and the impact of cross-selling of ABL products. There remains room for improvement of the gross margin through the revision of hardware, but the speed to reach that improvement is constrained by the existing high inventory levels. Luis will provide additional detail regarding these initiatives shortly. Labor costs and operating expenses have decreased again quarter-over-quarter, now down 13% and have declined 23% compared to the same period last year. In the case of cash costs, which is defined as labor costs and OpEx excluding R&D activation, non-cash items and one-off expenses, the result is even more impressive as we achieved a 32% year-over-year reduction. The newly implemented business unit structure introduced last year has proven effective in managing costs, providing greater insight and control. We have maintained consistent revenue levels, while significantly improving organizational efficiency. Our strategy remains focused on identifying cost savings and expanding sales in parallel as the business unit structure is now also beginning to support revenue growth. The first quarter 2025 adjusted EBITDA has been our best result since becoming a public company, landing at minus €7.8 million and slightly better than the guidance provided last quarter. This result represents an improvement of 42% compared to last year and a solid proof point that we are executing well on the items we can control as we progress to become a profitable company. Looking ahead, I am increasingly optimistic as we stabilize sales, build a strong backlog and see clear opportunities for growth. At the same time, we remain disciplined in right-sizing the organization and expanding gross margins as we continue to scale revenue. For the first quarter of 2025, Europe contributed €25.5 million of consolidated revenue or 68% of total revenue. The European EV market showed solid growth of 21% compared to the same period last year, which is exciting to see considering the market softness of the last year. We expect this positive momentum to support an upward trend in sell-in over the upcoming quarters. Europe remains our largest region and we are committed to leveraging our position now that the EV market is starting to trend in the right direction again. North America was again a strong region for Wallbox and contributed €11.4 million or 30% of the total revenue. This represents a 142% year-over-year growth compared to the first quarter of 2024. The positive results in North America resulted from our activities across the board, including Pulsar AC sales, Supernova DC charging sales and installation services. Besides, we secured large orders from key accounts as the U.S. EV market continues to grow. Both APAC and LatAm remain small regions for Wallbox, but continue to have significant future potential, now contributing approximately €300,000 or 1% and €480,000 or 1% respectively. AC sales of €25.6 million, including ABL, represented approximately 68% of our global consolidated revenue, down 14% year-over-year and slightly lower compared to last quarter. Weaker AC sell-in in Europe during the first quarter was offset by stronger than expected AC sell-in in North America along with one of our best quarters of cross-selling ABL’s eM4. We continue to leverage the success of the eM4 outside Germany. Examples include Tetra Pak, a global leader in food packaging, where we secured a project in Spain involving 48 eM4 chargers with Electromaps software licenses, showcasing our full turnkey solution. Additionally, we launched a pilot project with TotalEnergies, one of the world’s largest energy companies, deploying the eM4 solution in Belgium. This quarter’s success in North America is partly attributable to a significant order from one of our key accounts, Free2Move, the charging subsidiary of Stellantis, which also contributes to our backlog for the next quarter. This order serves as a major milestone and demonstrates their ambition to support EV adoption. In addition, this month we announced a new partnership in North America with another large car manufacturing company, Nissan. Together with Nissan, we are launching a nationwide home EV charging program in Canada which allows EV owners to purchase a Wallbox’s Pulsar Plus home charger. The program is designed to simplify the home charging journey and make it more accessible to a broader audience. Another product that is outperforming our expectations is the recently launched Pulsar Pro Socket, which is already showing strong market traction. We mentioned this product briefly during our last earnings call, but now that the order book is open, we are starting to build a significant backlog. The Pulsar Pro Socket is a refined version of our already successful Pulsar platform, designed to meet customer demands including connectivity requirements and is already performing strongly in markets like the U.K. DC sales improved significantly in the first quarter, growing 41% compared to the previous one, now landing at €4 million or 11% of sales. This is a promising improvement, but does not yet reflect the full potential of the Supernova platform. Our CPO customers remain conservative in the rollout of their infrastructure, and as we believe, profitability is a high priority, customer product demands for reliability and functionalities keep increasing. However, it is great to work with both existing and new customers including names such as Believ, Group Hera, Pluginvest, Francis Energy and ENSOL. We have sold a similar amount of units as last quarter, but improved revenue due to the increased sales of new generation chargers with higher charging power and a better margin profile. In addition, we are continuing to develop our portfolio by securing new certifications that expand our addressable market, while also offering adjacent services such as energy management and compatibility with back-up battery solutions. In the next section, I will provide additional details. Software, services and others continue to be important revenue drivers, consistent with last quarter, generating €8 million in the first quarter. This represents 21% of total revenue and a 60% increase compared to the same period last year. Within this category, software continues to grow steadily with 55% year-over-year growth. However, installation services have been the primary driver, increasing by 110% compared to the same period in 2024, largely due to the rollout of the State of Washington condominium program. Diversifying into these activities is important not only to capture growth, but more importantly, to support our customers with adjacent services where needed. As briefly mentioned during this earnings call, we continue to develop our DC fast charging portfolio, while strengthening our position in this segment. This includes new versions of our Supernova platform that can charge faster, are more reliable and can help secure the best return-on-investment. However, our focus extends beyond charging speed with even greater emphasis placed on safety, transparency and compliance. This quarter, we achieved both the California Type Evaluation Program, CTEP certification, and the National Type Evaluation Program, NTEP certification, marking an important milestone in our North American expansion. These certifications are a key requirement for EV chargers involved in the sale of electricity, ensuring they display essential transaction details, including the amount of electricity dispensed, the unit price and the total cost. These achievements allow Wallbox to expand its fast charging EV solutions not only throughout California, but also nationwide, complementing our existing residential charging offerings and positioning us to take part in major infrastructure projects. With the recently announced partnership with Francis Energy, a leading charging operator in the U.S., we also immediately started selling the newly CTEP certified Supernova. We are excited regarding this commercial milestone and we expect to be able to leverage this momentum by securing more new customers. In addition to speed, safety and compliance with key certifications, at Wallbox, we also develop complementary solutions within our DC fast charging portfolio to help customers optimize their charging infrastructure.. One example, resulting from our strategic partnership with Generac, is a fully integrated charging solution that combines advanced DC fast charging, battery energy storage and intelligent power distribution. The system features Supernova fast charging capabilities of up to 240 kilowatts along with scalable battery storage of up to 21 megawatt hours provided by Pramac, a Generac company. For customers, this end-to-end charging and storage solution provides many advantages including reduced grid dependency, accelerated site deployment and optimized energy usage for an improved charging experience. Another important product milestone I would like to highlight is the opening of pre-orders for the Quasar 2, our next-generation bidirectional DC charger. Following the UL certification secured earlier this year, we have now launched pre-orders in collaboration with our partner Kia, designed to enable bidirectional capabilities for Kia EV9 drivers. Quasar 2, when combined with our Wallbox Power Recovery Unit, has the potential to offer up to 12 kilowatts of power for both charging and discharging and can provide back-up power to homes for up to three days. Features such as vehicle-to-home integration, solar compatibility, easy installation and back-up power make it a key part of our smart energy portfolio. The relevance of this technology was underscored during last week’s widespread blackout in Spain and Portugal where concerns about grid stability and energy resilience came sharply into focus. Quasar 2 empowers users to take control of their energy usage, enhance self-sufficiency and secure energy supply during power outages. We are excited about this launch with Kia as a foundational step for what we believe will be a transformative solution in the evolving energy landscape. The first quarter showed solid year-over-year growth in EV sales in our addressable market, which we define as all regions except China, providing an exciting proofpoint for our belief that EVs are here to stay and provide a large growth opportunity. Rho Motion reported 1.7 million EVs sold in Europe, North America and rest of world combined, which represents a 20% growth compared to last year. The rest of the world is the fastest growing region, starting at a lower starting point, with Europe not far behind, while the North America market growth has been slower. We believe the drivers of this growth include the availability of more affordable EVs and positive uptick due to increased government support in Europe. However, it remains important to note that certain demand can be temporarily accelerated or slowed due to factors such as the reaction of customers to changes in subsidies, new emission standards, tariffs or other conditions outside our control. We underpin again our belief that the EV market will grow this year, but we think the EV sales in the first quarter may have been inflated by EV sales pushed by manufacturers into 2025 to start strong in a year where car manufacturers need to comply with new emission standards. Looking forward, we remain conservative due to the volatile macro environment which we expect will impact the wider automotive supply chain. Specifically, the impact of tariffs on the EV market still needs to be assessed as the relatively new EV supply chains can be particularly vulnerable due to the reliance on rare earth materials and an already higher price point than its ICE alternatives. Overall, it is clear that EV market volatility remains and the industry’s sensitivity to shift in the macro environment will remain until the industry reaches a more mature state. Still, the continuous growth of the EV fleet is an indicator that we are on an irreversible path. At Wallbox, the current market environment reinforces rather than alters our commitment to rightsizing the organization in line with evolving market conditions, even if those remain a moving target. We remain optimistic that by focusing on the factors within our control, we can continue to grow revenue, streamline costs and move closer to profitability. Regarding the impact of tariffs on Wallbox, we have been able to respond well due to our flexible footprint with production facilities in different regions and our localized supply chain with multiple vendors. We believe that the current environment is too volatile to make big bets, to make investments or move production lines, but we continue to look for opportunities to improve our flexibility to quickly adapt to changing policies. One important milestone we celebrated the past quarter, underpinning our flexible footprint, is that we surpassed 100,000 chargers produced in Arlington, Texas since it became operative in 2022. As our results show, the North American market becomes more and more important, and by investing in domestic production, Wallbox reaffirms its dedication to American businesses, supports local job growth and provides the agility required to serve the rapidly expanding EV charging market nationwide and across borders. Luis, I’ll turn it over to you to comment further on our financial details.
Luis Boada: Thank you, Enrique. Good morning and good afternoon to everyone. We have started off 2025 with solid results with revenue landing slightly above the guided range with €37.6 million with a slight uptick compared to last quarter, but down 13% year-over-year. AC sales in Europe remained soft, but were compensated by a continuous strong performance in the North American market in all activities. In Europe, the EV market showed an improvement and we expect to see the results of this recovering market in the upcoming quarters. Also, DC charging sales showed a positive turnaround after the low point last quarter, increasing 41%. Gross margin improved significantly quarter-over-quarter, reaching 38.1%, well within our guided range. This improvement was primarily driven by a favorable product mix, particularly the positive contribution from our new generation of Supernova chargers, which carry higher margins. Looking ahead, we continue to identify opportunities to improve gross margin, especially with the additional inventory release and optimized bill-of-materials. Q1 labor costs and OpEx totaled €25 million, representing a 23% improvement compared to the same period last year and almost €3.8 million down quarter-over-quarter or 13%. With revenue remaining flat quarter-over-quarter, this performance highlights our continued operational efficiency gains. The business unit structure implemented last year is beginning to yield tangible benefits, particularly through enhanced accountability and transparency. Cash costs, which is defined as labor costs and OpEx excluding R&D activation, non-cash items and one-off expenses, declined even further, down 32% year-over-year. As we progress toward breakeven and positive cash flow, we remain focused on continuously optimizing the organization. Consolidated adjusted EBITDA loss for the quarter was €7.8 million, our best result since becoming a public company and represents a 42% improvement year-over-year. This progress has been driven primarily by continued cost reductions, which have created a more efficient organization capable of reaching profitability at lower revenue levels. Looking ahead, we anticipate top-line growth in the coming quarters, allowing us to track closer to the adjusted EBITDA breakeven point. We ended the quarter with approximately €40.6 million of cash, cash equivalents and financial instruments. Loans and borrowings totaled approximately €199 million at the end of the quarter, comprising €67 million in long-term debt and €132 million in short-term debt. Total debt remained broadly stable compared to Q4. As mentioned during our last earnings call, we successfully negotiated an 18-month interest-only period with our primary lenders, Santander and BBVA. We have since extended this agreement to include CaixaBank and the EBN syndicate. As part of this arrangement, all these financial institutions have also committed to maintaining the existing short-term financing facilities at least through June 30, 2026. In line with international accounting standards and as disclosed in our recently filed 20-F, €24.4 million of borrowings were classified as current liabilities at year-end, as not all agreements were finalized as of December 31, 2024. This expanded financing agreement significantly enhances our liquidity visibility as we progress toward profitability in the coming quarters. Cash generation and liquidity remain top priorities for the company. We are actively executing on several key initiatives, including disciplined CapEx control, ongoing inventory reduction and the consideration of potentially divesting certain non-core assets. CapEx for the first quarter totaled €0.7 million, of which €0.3 million was related to investments in property, plant and equipment. Importantly, nearly all of this PPE spend reflects historical CapEx associated with ABL rather than the new investments made during the quarter. Excluding this, first quarter PPE CapEx would have been minimal. Looking ahead, we expect CapEx to remain low as our product portfolio is market-ready and major infrastructure investments have largely been completed. That said, a modest uptick may occur in coming quarters. On inventory, we continue to release cash, achieving a 9% reduction quarter-over-quarter, bringing inventory down to €63.6 million. Year-over-year, inventory has decreased by 29%, reflecting the effectiveness of our optimization efforts. Enrique, I’ll turn it back to you to provide some closing commentary.
Enrique Asuncion: Thank you, Luis. 2025 is off to a good start with solid results in the first quarter and many milestones to celebrate. We are still not where we want to be, but we are making steps in the right direction and the fundamentals remain solid. I am becoming more and more excited about how we can leverage the existing Wallbox platform with its diversified product portfolio, large geographical footprint and key strategic commercial partners by continuing optimization and growth efforts to achieve profitability. We show strong cost discipline and improved visibility on the top-line allowing for better management of the organization. This will help us to address and manage the continuing volatility in the EV market, especially with the current economic uncertainty and potential impact of tariffs. In addition, we see opportunities to grow and build-up a meaningful backlog with existing partners. Overall, we are pleased with our progress and we look forward to carrying on posting results as we keep building towards becoming a global leader in EV charging and energy management solutions. With that, I would like to move to guidance for the next quarter. For the second quarter of 2025, we have the following expectation. Revenue in the €37 million to €39 million range. Gross margin between 37% and 39%. A negative adjusted EBITDA between €5 million and €8 million. With that, we are ready to take questions from our analysts.
Michael Wilhelm: Welcome back, everyone. To analysts, we ask that you pose one question with a follow-up if needed then re-enter the queue if there is more. This will allow each of you to ask your questions upfront and we will get as many additional questions as time allows. Charlie, I think you have some instructions for analysts.
Operator: [Operator Instructions] Our first question comes from George Gianarikas of Canaccord Genuity. George, your line is open. Please go ahead.
George Gianarikas: Hi everyone. Thank you for taking my questions. I would like to actually ask about ABL and your thoughts on the – how that integration has gone, number one, and maybe also if there are opportunities given the landscape for additional consolidation across the industry? Thank you.
Enrique Asuncion: Hi George. Good morning. This is Enrique. Thank you for your question. So, to your question about ABL, so in terms of integration, we have done a lot of synergies between both companies in the last six months, I would say. And a big part of the savings that we have seen in our organization and improvements of efficiency have come from this integration. So, I would say that we are almost done in terms of synergies that we can finance companies and we are quite happy on the levels of OpEx and personnel that takes to run ABL at the revenues that we have seen since we acquired them. So, in that regard, in terms of cost [ph] synergies, we are happy. What’s – the main focus right now is in the cross-selling of what we call cross-selling of our products because here we have two opportunities. One opportunity is that take the products from ABL, that ABL has been very successful selling in Germany and sell them all around Europe. And this is something that has been slowly growing and we can say that this last Q1 we had the best quarter ever in terms of eM4 sales. And we are seeing really, really good traction of eM4 sales in France, in the Benelux area and now also in Spain. So, we are starting to see that our historical or local sales teams are having good projects. And an example of that is what we commented, the Tetra deal or the TotalEnergies. TotalEnergies is a huge energy company and we are doing this pilot that is a lot of units, but we expect it to continue growing. So, this part, although has been maybe slower than we expected, is starting to bring meaningful revenue in our home and business organization and we are happy with the product. We are happy with the support we are giving our customers and we are starting to see the traction. The other part of the – of what we call cross-selling is what ABL can sell in Germany from our historical products, the Supernovas and the Wallbox AC and home and business products. And maybe this part has been a little bit slower. But again, this last quarter, we have done great steps forward. We onboarded in ABL, a key customer like The Mobility House for Quasar, and also we have developed a whole team for selling fast charging for selling Supernova. We launched our Supernova I event [ph], which is the Supernova necessary to sell in Germany. And we have been creating this team. We sold some fast chargers. One of the fast chargers we sold was in the Dusseldorf Airport and we expect more to come because this is one of the pilots on the Dusseldorf Airport. So, we are introducing our products into the ABL sales organization, which is very successful. And we think this will create meaningful revenue. Again, these both cross-selling, we amounted around €2 million a quarter today, but we believe that this can grow to the double-digits in a few quarters as we continue to expand in new markets and more products. And finally, in terms of the management and organization in the ABL, we have onboarded a new responsible for the wholesales organization. He comes from the industry. He was responsible in one of our competitors in Germany. And this person has joined a couple of months ago and we also expect to see some traction there because he has experience not only in the AC charging side, which is what ABL is experienced, also in the DC fast charging side. In terms of other opportunities, we are not right now actively working on acquiring new assets. Our goal and our focus right now is to make sure we are cash positive as soon as possible. And after that, once the company generates cash, we will probably start looking into opportunities. I think there is time, the sort of time, the market is going – growing well, something to grow well, but still going slow. So, there is going to be opportunities.
George Gianarikas: Thank you. Maybe as a follow-up, just any additional traction for Quasar 2 beyond Kia that you can talk about? Thank you.
Enrique Asuncion: So, unfortunately, I cannot talk about, but we are in – today, we have started power to drive in Europe. This is the most important event for charging and energy solutions which is happening in Germany. And again, we are presenting the Quasar that’s going to be launched in Europe. As you know, we launched it first in the U.S. We are working with Kia and other car manufacturers will come soon in the U.S. But with our presence in power to drive today, we also expect to announce soon partnerships also in Europe. And what happened in Spain last week also created new opportunities and new customer demand, at least in Spain, but we expect in other parts of Europe, which makes Quasar even more interesting for the European market, where before in Europe, blackouts were something that no one expected, but now it’s in the top of mind of some people.
George Gianarikas: Thank you.
Operator: [Operator Instructions] Our next question comes from Ryan Pfingst of B. Riley. Ryan, your line is open. Please proceed.
Ryan Pfingst: Hey guys. Thanks for taking my questions. Firstly, can you talk about the competitive landscape today and the opportunities you might see in the market as some of your competitors face challenges?
Enrique Asuncion: Hi Ryan. Thank you for your question. This is Enrique. It’s a very big question, because may be at the end, we operate in multiple geographies and multiple segments. Maybe starting for what’s the biggest part of our revenue, which is the home and business segment, these are AC chargers for home and for commercial opportunities. I will separate them between Europe and in the U.S. In the U.S., as we can see, last quarter, we have been able to grow 142%. There is a huge opportunity we are seeing there. And comparing to our competition, we see that historical players that used to focus on the hardware are now more focused maybe on the operator – operation of networks and less in selling good hardware with good software solutions. So, we see an opportunity there in the U.S. and that’s one of the reasons why I believe we are having this very big traction, because our competition, first is not focusing as much on delivering the right solution for home and for businesses. And two, we have an edge in the U.S., which is our factory. This factory in the U.S. in Arlington that we were able to produce 100,000 chargers in the last 3 years, also give us flexibility, give us capacity to manage much better than others the situation with tariffs. And when looking ahead in the U.S., there are some other competitors that are Chinese players, and they also now with the tariff create some friction with customers. So, I think when I look at the U.S., it’s a very big market where we are capturing a lot both because competition is not focusing as much in hardware with software solutions and our American manufacturing. When I look at common business in Europe, here, we have, I would say, two or three pan-European competitors. They will be the likes of Zaptec, Alfen and probably easy I will say [Technical Difficulty]. And what we see is that there is players that are very strong in their home markets, but struggle more when going into other geographies. I think one of the keys of Wallbox is that Wallbox was born in a market, which is Spain, which is a very big country, but with very low penetration today of EVs. So, Wallbox had from day one to expand and be strong in very different countries. So, today, Wallbox is very strong and one of the top two out of three in France, in Germany with ABL, in Spain, in Benelux, in the UK, we are expanding very well. So, we are having this footprint and having this strong presence in other markets, we believe that in the short and mid-term, where markets continue to grow, it will give us an advantage versus the others. And also for car manufacturers and utility companies, which are our most – biggest part of our revenue, they want players that can operate in many markets and are strong in different markets. And just going now to the other part, which is our Supernova sales and the fast charging sales. Here, I will say that the market is global. It’s not separated between U.S. and Europe. It’s more global players. And I would say, there is two main competitors here, one being Kempower and [indiscernible]. And it’s interesting because they are obviously focusing on the highest power and that’s where the main focus they have. But we – what we are finding right now is, yes, we have high-power solutions and we are launching out solutions to get closer to the 700 kilowatts. But we want to – and making sure that we are the most successful and the most efficient in the highest volume area of fast charging, which is 100 kilowatts to 350 kilowatts. That’s where we are focusing with our Supernova solution, with our CD solution and making sure that we have a very cost-effective, high-quality and lowest cost of ownership solution that we can compete rather than trying to compete in the 1 megawatt and 1.5 megawatt region, which we obviously are developing products, we are focusing on having the best niche with the highest volume we believe is going to be in the following years.
Ryan Pfingst: Appreciate that. And then for my follow-up, and you just touched on it, but can you give some more detail on your expectations for your product mix going forward? And can you remind us how the mix impacts your margins and ultimately the path to EBITDA positive?
Enrique Asuncion: Yes. So, I believe that looking into – well, first, let me talk about the margins. So, today in fast charging, we are around 50% gross margins. And home and business, we are around 37% to 40%-ish gross margins. In – we can be in home and business at 50% also. We are not there today because we have still inventories and we are reducing these inventories and making sure we can get cash from it. So, once – as these inventories keep being reduced, we will be expanding our gross margins in the home and business. But we are – we prefer to focus on reducing inventories and obsolete inventories and have higher gross margin. So, we are in this 37% to 40% in the home and business side. And when we look into the sales mix, I believe that for Q2, we should be in a similar mix. We are looking into – similar than Q1 because our strategy for fast charging is to build more backlog. We have been having very volatile sales with fast charging because our levels of backlog were small. What we are doing now is start building backlog with customers to make sure we have a steady growth. And at the end, it becomes a more efficient operation. The reason why we build the backlog is this is – right now, we are delivering and manufacturing a lot of fast chargers at the end of the quarter. This creates huge overheads and makes us – our operations more expensive. So, we are talking with customers, planning better the deliveries, having orders to be delivered in successive quarters. And with this backlog being grown, not only we will have a steady growth on DC sales and the mix will improve towards DC sales, but also we will have a more efficient operation and a lower cost in the manufacturing of fast chargers.
Ryan Pfingst: Great. Appreciate all that detail. Thanks.
Michael Wilhelm: Thank you, Ryan. So, this was our last question. Thank you all for joining us today. We hope you found today’s call a good use of your time. Let us know if we can help you in any way.
Operator: Ladies and gentlemen, this concludes today’s call. Thank you for joining. You may now disconnect your lines.